Operator: Good morning, and welcome to the Triumph Bancorp Conference Call to discuss Fourth Quarter and Full Year 2020 Financial Results. All participants will be in a listen-only mode.  Please note this event is being recorded. I would now like to turn the conference over to Luke Wyse, Senior Vice President, Finance and Investor Relations. Please go ahead.
Luke Wyse: Good morning. Welcome to the Triumph Bancorp Conference Call to discuss our fourth quarter and full year 2020 financial results. Before we get started, I’d like to remind you that this presentation may include forward-looking statements. Those statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to publicly revise any forward-looking statements.
Aaron Graft: Thank you, Luke. Good morning. For the fourth quarter, we earned net income to common stockholders of $31.1 million or $1.25 per diluted share. This was a very solid quarter. We made significant progress executing on strategic priorities. Our transportation payments businesses are continuing their strong growth becoming a bigger part of our total revenue and with market tailwinds currently at their back. The quality of our funding mix and our liquidity position continues to improve and overall profitability for the enterprise was strong. Our asset quality is very good and in my view better than the reported metric may appear due to the impact of the acquired TFS factoring portfolio. Our third quarter acquisition of the factoring portfolio from Transport Financial Solutions and Covenant Logistics or TFS continues to present challenges. The impact of this acquired portfolio on our asset quality metrics, as well as the financial statement impact of the subsequent modification to the acquisition agreement with CVLG has resulted in several items in our financials that I want to point out. We have provided quite a bit of detail about this transaction in our earnings release in an effort to be as transparent as we can. In the third quarter, we reached a settlement with covenants that provided us protection from loss up to $45 million on $62 million of over advanced receivables that were within the total $108 million portfolio acquired. The accounting for this produced a specific loss reserve for a portion of the over advances, and it produced an indemnification asset for the estimated amount we would have to collect from covenant for any incurred losses. The modification also provided for a reduction in the purchase price we paid for the portfolio. We received a total of $10.9 million in cash in the fourth quarter from covenant as a reduction from the original purchase price. This payment was $8.9 million more than we had recorded as a receivable at the end of the prior quarter and is reflected in non-interest income in the fourth quarter. This positive difference is due to the appreciation in our stock that was part of the consideration in the original transaction.
Todd Ritterbusch: Thanks, Aaron. I'd like to start by providing an update on our pandemic relief lending efforts. On slide 18, you can see that we had $104.6 million in deferred loan balances at year end. This represents an 82% decline from the $572 million in deferred loan balances on June 30th 2020.
Aaron Graft: Thank you, Todd. For the fourth quarter, our transportation payments, businesses paid approximately 2.9 million invoices totaling approximately $4.03 billion, which equals an annualized run rate of just over $16 billion. That is a 38% growth over the prior quarter. You can see a breakdown of this on slide eight. Turning to Slide 9, total Q4 2020 Triumph business capital factoring revenue was $36.8 million. The dollar volume of invoices purchased was 2.5 billion during Q4 2020, a 24% increase compared to the third quarter and a 65% increase over Q4 of 2019  We purchased 1.2 million invoices during Q4, a 16% increase compared to the prior quarter and a 33% increase over Q4 of 2019. Average transportation invoice sizes were $1,943 for the quarter up 9% compared to the third quarter. Now to TriumphPay. Turning to slide 10, during the fourth quarter TriumphPay processed 1.8 million invoices, paying 68,153 distinct carriers. As of December 31, we have paid 119,098 carriers since inception. Payments process totaled approximately 1.8 billion, a 56% increase over the prior quarter, and a 282% increase from Q4 of 2019. Using December numbers only, TriumphPay’s annual run rate payment volume was approximately 8.5 billion, so we continue to grow. In fact, we added another Tier 1 broker arrived logistics in the fourth quarter. Last quarter, we told you about TriumphPay Select Carrier Program, which allows carriers to choose to have their invoices automatically QuickPay by any broker they haul for on the TriumphPay network. We opened the program in June on an invite only basis to test it and subsequently opened it to all carriers in August. As of the end of Q3, we had 1945 select carriers. As of 12/31, that number has grown by 325% to 8272. Select Carrier Clients now exceed the total client base for Triumph Business Capital. And this happened over a period of six months versus 16 years of Triumph Business Capital. Investors should pay attention to this number and its rate of growth. Much of our team continues to work from home. While we wish we could all be back together safely in our offices, we will not do so until it is clear our employees’ health and safety is protected per the guidelines established in our pandemic business continuity plan. Despite these difficulties, we turned in one of the finest quarters in our history. I am exceptionally proud of our team and their work.
Operator:  The first question comes from Brad Milsaps of Piper Sandler. Please go ahead.
Brad Milsaps: Hey, good morning.
Aaron Graft: Good morning, Brad.
Brad Milsaps: Aaron, thanks for thanks for all the color. Maybe you just wanted to start with TriumphPay, obviously; you got a lot of momentum there. Just kind of curious -- what and I know it can ebb and flow based on who you're bringing on, implementing and who's more up and running. But just kind of curious what the QuickPay usage is right now based on the volume that you have? And is there a way to think about like, what's that, based on the volume you have today, what that's actually translating into in terms of, average balances on the balance sheet that that you're generating income off of at this point?
Aaron Graft: Yes, it's difficult Brad and let me explain why. Every time we onboard a new broker, especially a Tier 1 broker, the QuickPay numbers start to look terrible, right? For that broker, because you start at zero. The thing I can continue to point you to is that for people who've been on the system for approaching a year, you're getting towards that mid-teens and higher QuickPay penetration. That's number one. Number two, the Select Carrier Program is going to carry QuickPay further with it. And you have to pay attention to how fast that's growing. I think in the call I just told you that December 31 number of Select Carriers was around 8,300. As we sit here this morning, it's 9,469. I mean it is growing close to exponentially. And so that won't happen forever. But as that happens, each of those carriers therefore elects to take QuickPay for a TPay broker and so as you start to get, you could argue that 10,000 Select Carriers start is looking like something like 5% of the entire active carrier universe. So that's going to start pulling that number higher. So it's not that I'm trying to evade, avoid the question. It's just if you look at the data, when you add these new brokers, you immediately knock the number back down. And in Q1, we expect to add two more Tier 1 brokers and of course, they'll start at zero, but for the Select Carriers, and then we'll continue to market to their carrier force. And you didn't ask this specifically, but I'll use this as a chance to answer it. I think sometime in the year 2021 when we think the data is meaningful, disclosing revenue, and QuickPay penetration is something we need to think about as the business starts to mature. And it is still a growth investment business, it was a $2 million drag on us in Q4. And we don't think about short term profitability, we're building for long term value creation. And so we continue to invest in the business continue to see it grow. And for the clients who've been on the program for a while you're seeing mid-teens penetration, and I think that will trend higher as the Select Carrier program continues to grow.
Brad Milsaps: That's helpful. But just and I think you kind of answered this. But of the billion eight in average commercial finance loans, you have outstanding; it's pretty easy to say that. And I would say it is a bad thing. But TriumphPay is not having a huge impact on that number yet. Just because the QuickPay usage is not where you think it can be. So a lot of that is still sort of on the comment, if that makes sense?
Aaron Graft: It is absolutely on the come. I mean, we're, what the board has charged us to do, the way I think about things is we're trying to build something that's going to be amazing five years from now. We want to be the best in the world at billing and payments and trucking. And I think we are well on our way to doing that. But it's not meaningful right now. What's meaningful is the amount of market adoption that's coming, and we will eventually monetize that. But right now we're just carrying it. And I don't even view it as an expense drag, I view it as the most valuable investment we are making as a company.
Brad Milsaps: Got it? And I know you don't have a crystal ball on, average invoice size. And I know sometimes 1Q can be seasonally weak, but just kind of curious kind of how you're thinking about, average invoice sizes as you move into 2021?
Aaron Graft: Yes, so if we, the average invoice size for transportation for the first 20 days of January is $1934. So it continues to stay strong. And this is not like 2019. You remember we came through 2018 and 2019 quickly fell off a cliff. I don't know what will happen. But their supply chains are still so backed up freight is still so tight. It suggests that this tailwind that we have currently is continuing in the first quarter and will continue going forward. Now I think utilization will be a little lower in Q1 and always is. So I'm not saying net income will look the same in TBC, but average invoice sizes in the spot market that's telling you that freight is still tight, which is great news for us.
Brad Milsaps: Okay, and then final question for me. If you happen to have the impact, it's sort of average, warehouse loans and the National lending line this quarter. And did you guys think you've kind of taken sufficient, market share there to kind of keep the warehouse relatively high as you move into, move through this year?
Aaron Graft: Well, so I'm not sure exactly what you're asking for with respect to the impact. But obviously, the mortgage warehouse continued to grow and be very active in the fourth quarter, and continues right into January. So I would expect that for the very near future, you're going to continue to see the similar levels of activity to what you saw in the fourth quarter. We're seeing refinance activity continued to be very robust. And I think there's a real rush to try to get all the refinancings done before interest rates start to rise dramatically for borrowers. So nothing really changing there. We haven't changed the strategy. We're not looking to add new clients to that list. We're looking to continue to expand the existing relationships to be the primary bank for them.
Brad Milsaps: Okay, great. Thank you.
Operator: The next question comes from Michael Rose of Raymond James. Please go ahead.
Michael Rose: Hey, good morning, and thanks for taking my questions. I know you guys on boarded another Tier 1 clients this past quarter. I think you had another couple in the pipeline. Just wanted to see if we could get an update there. And then just on the on the TPay side, I think you said December was kind of an eight and a half million, run rate, or eight and a half billion run rate. I think you guys should kind of guided to 10 by mid-year. Any sort of updates there? And how would those potential new clients factor into that, that previous outlook? Thanks.
Aaron Graft: Yes. So Michael, I expect we will onboard two more Tier 1 brokers, at least in Q1. Now, that can always slide but they're in the pipeline for Q1. We will go well beyond $10 billion this coming year. I think in the past, we've, given different projections, let me go ahead and throw the one out that you can use for us for the end of year 2021, the target would be 14 billion. So if we're December run rate is 8.6 billion, and you think about the rate of growth, we 14 billion would be our goal exit rate for the end of 2021. And perhaps we can surpass that. But as of now we have five Tier 1 brokers are roughly 25%, or exactly, I guess 25% of that universe. And we have 21, Tier 2 brokers of which we think there's about 260. So we just continue to add them every quarter. And as we do that, and then grow select carriers, and I'll throw this out there, our target for select carriers for the end of the year is 20,000. We would like to have 20,000 registered select carriers by the end of 2021. So I think we will be well beyond 10 billion during the year 2021. And we think we will continue to grow.
Michael Rose: Okay, that's great color. And then just looking at the spot market, here over the past couple of weeks looks like spot rates are down a little bit, but it still seems like the kind of the trajectory is upward, given the factors that you that you mentioned earlier, give just a kind of a broad outlook for how you think, the sector plays out, maybe more broadly over the next, couple years. It seems like the market will persist in a pretty tight manner for at least the next couple quarters, but perhaps for the next couple of years so any broader thoughts you might have on the on the sector as a whole? Thanks.
Aaron Graft: Geoff, why don't you take that one?
Geoff Brenner: Yes, Michael, I don't know anybody who's willing to speculate looking out that are in terms of years. I think Aaron's comments around Q1 and Q2 are probably as accurate as we can be. But going any further than that feels like almost beyond speculation. What we do know is that there is still difficulty finding qualified drivers. That is a massive problem. We also know that Class 8 truck orders and trailers are backed up by people who've ordered that product or are trying to get in line to order that product or several months out. What we know from the past is this is a low barrier to entry business. So it won't persist like this for forever. If people see that others are making profitability, they'll find a way to enter the space. But it certainly looks like Q1 and Q2 are good. There's still a lot of shipments that we're still catching up from shutting down the economy. And if stimulus turns into consumer spending, I mean as we've said before, if you bought it a truck brought it. I mean, trucks, that's how goods get to people. And so if that's what happens, then we're going to continue to see strength and transportation, which obviously, we celebrated. And because this has happened, even with diesel prices remaining relatively flat. So it's just been a very strong season.
Michael Rose: Fair enough. And maybe just one final one another kind of longer term strategic question. I know you guys are collecting a lot of data points. You've talked about fuel card initiatives, things like that. Can you just give is an update on maybe where it stands. I assume it's still kind of early days and some of those efforts. But just any updated thoughts on the other stuff you guys are working on inside TPay and TBC would be great? Thanks.
Aaron Graft: Geoff, why don't you just talk about the data we're collecting, and then I can follow up?
Geoff Brenner: Sure. So, as we've mentioned, before, we're collecting at least 1.5 million data elements every single day from the invoices and through TriumphPay. We've looked at a number of different ways to build out different indexes with that data. There are certainly lot of options that are on the table. The one that's presented itself is the most unique, the one that we're currently pursuing, is creating a capacity index. That's a current void in the market. And that's something that our data could potentially address. We'll have an internal white paper on the progress of that within the next week. So we're making headway on that. Probably the larger use, the more immediate use of all this data, is just creating opportunities to be more efficient internally. As an enterprise that wins to truckers, that factors truckers, that QuickPay's truckers provides insurance to truckers, collecting and utilizing that data just to become smarter about our clients and how we offer our products more efficiently is a big strategic advantage. So we're in the process of harnessing that as well.
Aaron Graft: Yes. I would add, Michael. So, as we spend on artificial intelligence and machine learning, which we are doing. We are making significant investments in that that both benefit TPay and Triumph Business Capital. It touches on the internal operating efficiencies that Geoff talked about. I mean, if you look at the efficiency ratio for Triumph Business Capital in this quarter, the first time I ever remember it being below 50%. Now, part of that is just the revenue that we're generating. But we think we can continue using this technology to automate a lot of these processes. But let me tell you what we won't do, because I think it's important for everyone to know this. When you become the trusted partner for a third party logistics company, and you handle payments on their behalf, you have access to all their data. I mean, we require that data in order to be able to effectively pay truckers. Well, we are a bank. There, we have a fiduciary responsibility to our TriumphPay customers to protect their data, to not use their data in a way that could hurt their businesses. And I think that's a reason many fintechs won't ever penetrate this space is because I don't think freight brokers can trust them the same way they can trust a bank to be a good steward of this data. And so there's ways to anonymize and structure the data and provide value to the marketplace and monetize that value for our investors. But we have a sacred duty to our freight broker clients to protect their proprietary data. And we will do that. We take that very seriously. And I think that's why we built a lot of trust with that segment of the transportation world.
Michael Rose: Hey, guys, appreciate all the color. Thank you.
Operator: The next question comes from Matt Olney of Stephens. Please go ahead.
Matt Olney: Good morning and thanks for taking my question. I wanted to circle back on something and thinking about the seasonal nature of your in markets. In the past, you've cautioned us that the net interest income typically experienced a sequential decline from the fourth quarter into the first quarter. But these are obviously unusual time. So, as we sit today, do you think these headwinds are going to produce lower NII in the first quarter as compared to the fourth quarter?
Aaron Graft: I think so, Matt, I don't think you'll see the same fall off you've seen historically. But even in a strong freight market, seasonality is still a real phenomenon. So, I would expect we will -- we won't exceed Q4 net interest income in Q1. I would be shocked if that happens.
Matt Olney: And Aaron, what about the net interest margin? I guess there's similar dynamics there, but obviously a few more different things. Do you expect the margin to also sequentially flatten out in the first quarter? Are there enough tailwinds to move that higher?
Aaron Graft: Yes. As you know, for us margin highly tracks mix asset mix. So, if you presume that factored receivables purchased in Q1 will not be. And both factored receivables purchased and the QuickPay generated from TPay on invoices paid. If you think on a total volume basis that will be slightly below where we were in Q4, then that's going to have an effect of pushing down margin some. I don't think it will be dramatic. Because we continue to add new clients. We add -- adding these new customers to TriumphPay. So, I think that's something to bear in mind. The other thing, Matt, that I think investors should understand, this TFS transaction has touched our balance sheet in a lot of ways. And look, we're fully reserved now for what happened in the past. And we're going to go fight the good fight to make the government do what it's supposed to do and follow the law like everyone else does. But the factoring yield of 13.81%, you see in there, that's a GAAP yield number obviously it includes reserves. That's a 1.37% lower than it would be once you back out some revenue. We reverse related to this largest carrier. And when you take into account the non-accrual balances that are historical. So, as you think about NIM, and you think about compression, I think on a GAAP number, when you look at this X, this largest carrier workout that we're going to get done, factored growth -- GAAP factoring yields are between 15% and 16%. There's still going to be pressure at the top end of the market there. But we continue to hold the line as well as we can. So, that's a long winded way of saying -- it would surprise me. I don't think NIM will expand. And it very well could be creased slightly in Q1. But if it does, it'll be slight.
Matt Olney: Got it. Okay. That's helpful. And then switching over to credit and provision expense. If I understand that correctly, I think the provision expense in the fourth quarter would have been negative if it weren't for some of this TFS noise. Even though loan growth was very strong in the fourth quarter, I think the ACL ratio is now around 2%. What's the outlook for provision expense? And what the change that we could see provision expense be zero or even negative over the next few quarters?
Aaron Graft: I think it's very likely. I mean, unless there's something changes, factoring as a discipline, TriumphPay as a discipline, our highest growth businesses, the historical loss ratios are de minimis. I mean, this one thing we've been talking about is not -- TFS is not replicable. In other parts of our business, it's a different animal. And so, when you look at everything else we're doing, and we're not calling for a bunch of loan growth in the year 2021. What we're focused on as Todd and team lead the retail bank is deposit growth there and safe, consistent loan growth. And so, I still think transportation is going to be our largest area of growth. And of course, as you know, that term so quickly, it doesn't really build up giant balances on your balance sheet. And historically, it's been so predictable from a credit loss perspective, that I just don't see the need for it, Bryce, anything you want to add to that?
Bryce Fowler: No. I agree. I mean, obviously, we have the variable of just those changes in the economic outlook from seasonal, but underlying credit trends and our forecast on growth should be consistent with where they are outlined there. So they could have releases of reserves or small amounts.
Matt Olney: Got it. Okay. And then, just lastly from me, I think both Todd and Aaron, you mentioned that deposit growth could outstrip loan growth this year. Any thoughts on that loan-to-deposit ratio where that could end up? I think we're at 106% right now in the fourth quarter?
Todd Ritterbusch: Well, as you know, the biggest variable in that 22 basis points is I think how much it was affected this quarter is mortgage warehouse. And so, all of us have given up the business of predicting what mortgage warehouse is going to do. We -- it's just -- when you think all of America has refined their houses? You're wrong. Rates go lower once again, and they do it all again. So -- but I think anyone who looks at us, you need to set that aside, right? We choose to fund that with Federal Home Loan Bank advances. It's a secondary line of business for us. The team does a fantastic job. It's profitable. But if you pull that out, we're below 100% loan-to-deposit ratio. So when I talk about deposit growth, Matt, I don't think about loan-to-deposit ratio so much as I do. The growth of non-interest bearing deposits relative to the remainder of the portfolio. When we called our shot a year and a half ago, that we wanted to shift directions, we knew that 19 -- at that time 19% of all our deposits were non-interest bearing. Today it's 29%. I want to see that number continue to grow. We all talk about transportation and the FinTech and what we're building. And it is super exciting. We are going to build the network that's going to transform the way people get paid in the trucking business. But along the way, as long as we're in community banking, we're -- when I talk about deposit growth, I'm talking about transactional relational customer deposit growth. So, I think that number is going to keep going up, because that's what we're paying our people to do. That's what we built the technology to help them do and that's what we talked about around here. So, loan-to-deposit ratio will probably still run above 100% as long as mortgage warehouse is active, but I'm a lot more focused on growing non interest bearing deposits as a percentage of total deposits.
Matt Olney: Got it. Okay. That's helpful. Thank you guys.
Operator: The next question comes from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner: Thanks. Good morning, guys.
Aaron Graft: Good morning.
Gary Tenner: My trucking questions generally been answered. I was going to ask about the declining yield that you'd mentioned, Aaron, it’s a 13.81%. I just want to clarify the numbers I heard. Was that 1.37% below what it would have been actually revenue reversal?
Aaron Graft: That is correct.
Gary Tenner: And that's regulated. Go ahead.
Aaron Graft: Go ahead. 1.37% of the decline was tied to this largest carrier, that was part of the converted funds problem. We are fully reserved on the historical relationship. Now with that carrier, of course, the indemnification asset is highly correlated to that reserve, if there's a charge off, obviously, because of the covenant indemnity. And then, we've moved some of the incoming receivables into a non-accrual balance while we work through this. And so the point is, if you exclude that one customer who we no longer factor and will not beyond this workout, be doing business with, it would have been 1.37%, higher.
Gary Tenner: Okay. And that'll be isolated, obviously, the fourth quarter. So that would get you back over 15%, more in line with the couple of prior quarters of the year?
Aaron Graft: Correct.
Gary Tenner: Okay. And then, you mentioned a few times, obviously, the focus on -- obviously, the commercial finance part of the business and mortgage warehouse, and not the community bank side, which you're talking about for a while. Average community bank loans were down about $200 million quarter-over-quarter or excuse me, year-over-year in the fourth quarter? I imagine at some point there's kind of a bottom floor to where those balances could go, just given your presence in those markets. Can you talk about where -- how much further that number may get pushed down? Or do you think it's getting close to kind of stabilizing?
Aaron Graft: So, we don't have a specific number, Gary. We have a specific mindset. Historically, we were willing to do credit only deals in those markets. Today, we are not willing to do credit only deals in those markets. If we're not your relationship bank then we're not going to lend to you. We just -- we don't need the loan growth. So it's not like Todd and I sit around and say, this number has to go down. We say, look, we're not going to give you the left hand side of our balance sheet unless you contribute to the right hand side of ours. It's just -- that we're not in the business of selling money anymore, because we generate enough revenue, we don't worry about paying overhead like we did when we were a $250 million bank. So, I don't know if it'll continue to follow. That will depend upon the relationship bankers and their ability to get full relationships. We are in the business still of making community bank loans. So long as we have a full relationship, so long as it's credit worthy, we'll look at it. So I think what you're seeing the stuff that's been rolling off is stuff where the people were just using us as a transactional lender. And we're just not going to do that anymore.
Gary Tenner: I appreciate the color.
Operator: The next question comes from Brady Gailey of KBW. Please go ahead.
Brady Gailey: Thanks. Good morning, guys.
Aaron Graft: Good morning.
Brady Gailey: So I know the TFS deal hasn't panned out as you guys initially thought. But do feel like you have a good handle on where things are right now with that deal? Or could there continue to be some potentially negative surprises?
Aaron Graft: Yes. That's a very fair question, Brady. Because I never dreamed that the Post Office would divert funds over written notice in order to keep a carrier running. And I get it. There was an election, a highly contested election, the mail needed to run, but you would expect someone to pick up the phone and call you. So look, here's where we said, that the Post Office uses five large carriers and we essentially financed two of them. One of them, we will no longer be financing. And we're in the workout mode, as we described. Growing our exposure to the Post Office is so low on my priority list, I can't even see it. So, I don't look for that to happen in the future. They don't act like a commercial entity, the thousands of them that we deal with in factoring. We're not going to do that. Other people can step in and finance that. So, we fully reserved for the largest carrier. We think we fully understand where the second carrier is. And I would not expect any more surprises. Now you can never predict theft. I mean, frankly, we deal with misdirection of funds on a regular basis at in our factoring business. The difference there is we're talking about, it's $50,000, not $19 million. That's the beauty, frankly, of the way our business is built as you have a very fragmented customer base. So no one customer can hurt you. That something we underestimated in this acquisition is the concentration exposure to a single trucker and to a single better, that has really shaped our thinking for how we move forward. So I would be very surprised, Brady, if you see this show up again, as any new losses, I'd be stunned, frankly. I believe we will get the $19.6 million worked out. And I think you'll see those balances shrink over time, and we will not be pursuing this business anymore. We'll be more in brokered freight, and commercial shipper freight, and less about government or quasi government contracting.
Brady Gailey: Right. And then, Aaron, I know in the past, and recently, you kind of downplayed M&A, especially bank M&A. Is that still the right way to think about it given all the stuff you'll have gone on organically on the growth side?
Aaron Graft: Totally. As we -- if we do M&A, it will almost certainly be related to the transportation space. It'll either be technology, acquisitions that enhance the TriumphPay ecosystem, or things in that area around factoring and areas that we fully understand where we're committed to moving. Beyond that, it is highly unlikely that there is other M&A in the pipeline for us.
Brady Gailey: Alright. And then finally from me, Aaron, I know, right now, it's not as much about profitability. It's more about growth and getting market share, just as you all build out this interesting business. In the past, you've talked about, getting to a two plus ROA and sometimes you've attempted to throw out a timeline. Any update, or ideas as far as when we could see profitability enhancement, given the excitement of what you're growing here?
Aaron Graft: Well, first off, Brady, I would say, I think all of you all are going to land on different core numbers for this year -- for this quarter, that is because there was a lot of noise. I mean, I think any way you look at the business, it's probably running not too far off of a 2% ROA, definitely above a 1.5% core ROA. So the first thing I would say is relative to our peer group, I think we're really profitable on a core basis. And we're really profitable even while we're making investments. I told you that TPay is a $2 million drag on Q4. And that's a great investment that's going to pay off in the future. What I would point you to is look at Triumph Business Capital. On a pre tax ROA basis, it was just under 7% in this quarter. Now, it won't always be there, but it's going to run around 6%. We've told you that TriumphPay at scale is roughly as near as we can tell. And of course, we can't tell exactly because nobody's ever built a FinTech payments network in trucking before. So we'll tell you as we figure it out as we go along. But using the math we understand and the things we see, we think that's probably a 3%, 3.5% pre tax ROA business. And then really once you get way further out on scale, we think it becomes more profitable. So there aren't a whole lot of FinTech companies out there that make any money. And maybe we shouldn't. Maybe that's how they get these ridiculous valuations. But we're trying to manage all this at once, invest in all the things, hire all the people, we have a lot of developers on staff and people investing and building something that's incredibly user friendly for the market. So will we get to a 2% ROA? Yes. I mean, math just be -- the math tells you we will. If Triumph Business Capital is a 6% ROA business and growing. If TriumphPay is currently a drag, but will become profitable in 2021, we believe, and ultimately we'll get to, we think, a 3% or better ROA. And if the community bank continues to do what it's doing, then we'll get there. It's just right now we're early in the building cycle. And I'm pretty proud of the profitability we're generating on a core basis right now. And I think that will continue in 2021. But eventually, if you allow those two transportation businesses to grow faster than everything else, it will naturally pull you above that 2% ROA number. I'm not going to give you the specific time on when that will happen. But I think you will see progress towards that in the year 2021.
Brady Gailey: Got it. That's good color. You guys keep doing what you're doing. Thanks Aaron.
Operator:  The next question comes from Steve Moss of B. Riley FBR. Please go ahead.
Steve Moss: Hi. Good morning, guys.
Aaron Graft: Good morning, Steve.
Steve Moss: I want to ask on expenses here. I know, Aaron, you gave expense guidance for the first quarter. But just kind of curious how -- you have obviously, investments ongoing? How do you just think about expense growth for the full year relative to 2020?
Aaron Graft: Yes. So anything that may move that Steve is if we do any M&A in the year around adding technology or other assets. So setting that aside, because that's unpredictable. But I think we don't expect expense growth over Q1 to be material throughout the year. I mean, we gave you $58 million for Q1. I don't think it will move materially between Q1 and Q4.
Steve Moss: Okay. Well, thank you very much. That was my one last remaining question. Good quarter.
Aaron Graft: Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Aaron Graft for any closing remarks.
Aaron Graft: Thank you all for joining us today. 2020 was a year unlike any that I remember. We're all hopeful for 2021 for the health of our nation, the physical health and the mental health and just the overall unity as a nation. And so, we pray for that for all of us. Thank you for being on this call. And we look forward to seeing you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.